Alexander Saverys: Good afternoon, and welcome to the CMB.TECH Earnings Conference Call for the Fourth Quarter of 2025. My name is Alexander Saverys, and I'm joined here by my colleagues, Joris, Enya and Ludovic. We will touch upon our classic topics. We'll start with our financial highlights. We will then give you a market update and finish with a conclusion and a Q&A. And for the financial highlights, I'd like to hand it over to Ludovic.
Ludovic Saverys: Thanks, Alex, and good afternoon, everybody. As usual, we start with a snapshot of our company, where here, we've shown you the key metrics of the fleet, roughly 40 ships with about a $10.7 billion fair market value. This is excluding the vessels we have sold already. Our market cap sits today at $4.2 billion after a nice run-up on the share. We have $1.5 billion CapEx remaining as from end of January and operate a modern fleet of 5.9 years. Dry bulk today is predominantly 60% of our total fair market value with the other divisions showing the rest of the value of the fleet. Zooming in on the highlights of the Q4, we had a net profit of $90 million bringing the full year profit to $140 million. And the EBITDA of this quarter was $322 million to end the year on a $943 million EBITDA. Our liquidity sits at a pretty strong $560 million and our covenants for the bonds on the equity on total assets sits at 31% and for the rest of our loan agreements at 44%. We've had a pretty remarkable Q4 where we were able to delever the company, at the same time, pay dividends again, which we'll discuss later and strengthen the balance sheet with a couple of actions that we've performed in the company. Running through it, the result, I mentioned $90 million. We had some nonrecurring one-off and sometimes even noncash impact on the results, which are mostly related to the finalization of the integration of the merger with Golden Ocean. There's IT costs, but there was also, I would say, refinancing costs that we had to take as a one-off on arrangement fees, success fees in Q4. On top of that, we had roughly $15 million, 1-5 of nonrecurring costs on the SG&A, which is tax reversals and other, again, integration fees from the Golden Ocean merger. The liquidity stands at $560 million, which is quite strong with the good markets, with the sale of assets, and we'll discuss later, gives us a lot of capabilities to further strengthen the balance sheet in 2026. The acquisition, if you recall, the first 50%, 49% of Golden Ocean, we bought through a bridge facility. Happy to inform that it was fully paid back end of January. There was also some costs related to that of acceleration of arrangement fees. But this will give an interest saving of roughly $42 million for 2026. So quite happy to say that we were able to do this, but that also we were able to repay it out of own cash, but also some releveraging on other dry bulk ships. The contract backlog sits at $3.05 billion. Alex will go in further detail, but we added in Q4 roughly $304 million, primarily on Capesizes and on one CSOV. Happy to tell that there an interim dividend declared of $0.16. This is roughly $45 million of dividend being paid later in April. We feel that the balance sheet has strengthened good enough to increase from the $0.05 we previously paid in the quarters to a somewhat higher dividend. This dividend is not yet the dividend that we announced in the press release on the sale of the 6 VLCCs of 50%. So this -- the capital gain on those ships will be taken in Q1 and Q2, and the Board will decide on the dividends at that moment. We've had a very active delivery schedule in Q4, 6 newbuildings, but Alex will talk about it later. But more importantly, for our balance sheet, we were able to, in Q4, Q1 and Q2 already secured more than $420 million in capital gains. That's profit that is locked in. $50 million was booked in Q4. But in Q2 and in Q1, we have already a guaranteed $370 million profit, which gives us a lot of opportunities for the rest of the year. We have a large spot exposure still on tankers, but predominantly on dry bulk. If you look at 2026, we have roughly 53,000 shipping days from which 44,000 are spots. And if we zoom in into dry bulk, where we have a pretty strong feeling that there will be a good market in 2026. We have 36,000 days from which 27,000 on Capesizes and Newcastlemaxes. This means $10,000 up on our breakevens brings in $270 million in cash flow. When we look on the right side, we always like to position on the segments we are active in compared to the order book to fleet ratio. The bottom segments are compared to some of the other shipping segments on the relatively low side on the order book. When we look at Capesize and Panamax, I think we're very well positioned to look for better markets in 2026. Looking at the CapEx program. It's a recurring slide we like to show. As of end of January, we have roughly $1.5 billion remaining CapEx from which $216 million will come from our own cash. You can see in this slide, which is quite interesting is that the next 12 months will be a heavy delivery schedule, roughly $1.2 billion will be paid to the yards. All the financing has been secured. And if we look at the cash from the sale of the VLCCs and Capesize we've already done, the whole CapEx has been taken care of. This also shows that within 12 months, every sale, every cash flow generation we'll have will give us an opportunity again to look at dividends, delever further in an even more accelerated way. The free cash flow, we've given an estimation based on hypothetical rates that you see on the bottom right. I think we're still pretty conservative if you look at today's markets. But should we have the estimated rates even with 20% where we're already in today, this would create a $700 million free cash flow on top of the normal debt repayments. This gives us ample capability to pay back the Nordic bonds, which we anticipate just to pay out of own cash, continue to fund the CapEx and delever the company in an accelerated way. This was the financial highlights. I'll move on to the market update and give the floor to Alex.
Alexander Saverys: Thank you, Ludovic. I want to update you on the various markets where CMB.TECH is active. You see our overview sheet where we put all our markets and zoom in on the demand side, supply side and where we see the balance. This slide has fundamentally not really changed compared to 3 months ago. We are still positive on dry bulk tankers and offshore. We are cautious on the container side and on the chemical side. If you look at dry bulk specifically, you see that we see very nice ton-mile growth for iron ore and bauxite in 2026, which is a positive. On the supply side, the order book to fleet has grown a bit. There's been some more orders for Capesizes and Newcastlemaxes for delivery in 2028 and 2029, but we still believe it's a manageable 12.4%. The fleet growth this year in Capes specifically will only be 2.3%, and we see the trade growing by more than that. So all in all, the balance is positive. On our dry bulk side in Bocimar, we have 87 spot vessels. There's another 9 vessels that will be delivered to us that will also be traded spot unless we have fixed the charter. And with the addition of the recent charters that we concluded, we have now 16 ships on charter, and that's another 3 newbuildings on charter as well coming later this year, beginning 2027. On the tanker side, the figure in pure supply/demand is a little bit more muted. There is more fleet growth than demand growth at least on paper, but there's a big element of sentiment, and I'll zoom into that when we speak about Euronav that has propelled the market to very, very high levels. All in all, sentiment is good. Earnings are good. The tanker market is still very positive. Our tanker fleet with the sales of the 8 vessels recently has reduced a bit. We still have 12 vessels on the spot, another 3 newbuildings coming. And then we have 10 vessels on time charter with another 2 newbuildings that will also be on charter, but I'll talk about that when we talk about Euronav. Containers and chemicals, I'll handle a bit later. And then just on the offshore energy, which is both on the offshore wind and the offshore oil and gas. Specifically on the wind, we are seeing a slight acceleration again of the installation of capacity, which should support our CTV and CSOV markets. And on the supply side, we have seen basically a slowing down of ordering new vessels. The order book to fleet for CTV stands at 13%, which we think is very manageable. Order book to fleet for the CSOVs is much higher. But again, there is also a lot more demand for that type of vessels, specifically from the offshore oil and gas markets. I want to run you through a couple of slides for Bocimar and dry bulk, starting with the overview of what Bocimar has done in Q4 and Q1. We have 36 Newcastlemaxes on the water. We have another 10 newbuilding Newcastlemaxes that will all be delivered by the first quarter of 2027. In Q4, we achieved actuals of close to $35,000. Q1 quarter-to-date, we are at slightly more than $30,000 a day. We have 37 Capes on the water. There, the results in Q4 were $30,000 and Q1 to date, we are at $26,000. These are strong rates Definitely, for the first quarter of the year, we are seeing rates that have not been as strong over the last 15 years. So we are seeing a very strong Q1. We have sold the Golden Magnum and the Belgravia and we'll record a capital gain of $8 million in the first quarter. Our 30 Kamsarmaxes and Panamaxes are all on the water. We achieved rates of $17,300 in Q4 and $13,200 so far in this quarter. You can see the breakeven levels and what we have achieved on the right side. Just a couple of important indicators on the right side. We see that there's a lot of green indicators, a lot of support for dry bulk demand. Just the inventories on iron ore in China are up. The coal imports in China are down. These are slightly more negative indicators. But all in all, we see more positive signs than negatives for dry bulk. Here on this slide, we look at the order book to fleet ratio for Capesizes and why we believe that vessel values could well be supported for the next 2 or 3 years. We basically have put on the right side of the slide, the recent number of vessels that have been delivered, including the newbuilding prices that are being quoted by brokers and compare that to the last time we were in a dry bulk boom. Here, basically, we want to say that as long as the order book is around the levels that we see, this market still will be supported on asset values. We don't see an oversupply coming. The fleet profile for Capes and for Panamaxes, again, it's a recurring theme. There's very little scrapping going on. We see that vessels are aging, aging rapidly. We are now at close to 150 Capes that are over 20 years of age, close to 600 Capes over 15 years of age, and the numbers on Panamaxes are even more important. So if the market one day would correct and scrapping would start, this would definitely be something that can balance the market. When we look at Q4 and Q1, the 2 big themes for us, definitely for our Capes and NUCs have been iron ore and bauxite. You can see on these graphs, the rainfall and then the volume of iron ore and bauxite that's being loaded in the Atlantic, in West Africa and in the Pacific. What we have seen specifically with West Africa on the bauxite side, but now also the iron ore will start playing a very important role is that it is a bit counter seasonal compared to the weaker seasons that we have used to be seeing in the Pacific for Australia predominantly and the Atlantic for Brazil. So it is helping our market. It is balancing the market. There are more opportunities for large bulkers to load cargo even in the first quarter of the year. And as you can see, the rates have reacted very positively to these volumes. Capesize market fundamentals this year are positive. I mentioned it when we spoke about the overview. We see a ton-mile increase in demand of 2.7% and a fleet growth of 2.3%. So we expect the utilization to creep up. We are already around the 90% utilization mark. This could go to 91%, 92% in the coming months. The big market moves in dry bulk and then specifically for iron ore is -- well, you can see them on this slide, all the volumes coming out of West Africa, Brazil, Australia. We see that iron ore, according to the forecast will continue to grow. So seaborne iron ore will continue to grow. It will come from areas that are far away from the main customer for these goods, which is China, which is good for ton-mile demand. And you can see that the same story can go for bauxite. We have been very surprised by volumes of bauxite in January. So the number of 184 million tons could well go higher if this trend continues this year. So very supportive of these 2 commodities, both in volume and in ton-mile for 2026. I will say a few words about Euronav and the crude oil tanker market. Starting with our fleet of VLCCs. So the fleet has been reduced. We have sold 8 of our older vessels as we have announced last month. We are left with 3 VLCCs on the water. That's one 2016 built ship and 2 newbuildings. And then we have another 3 eco VLCCs coming in the next couple of months. So our fleet of VLCCs is 6 ships in total. You can see what we have achieved in terms of rates, around $75,000, both in Q4 and in Q1 quarter-to-date. The Suezmaxes, we have 17 Suezmaxes on the water. We have another 2 vessels delivering very soon. These 2 vessels, these 2 newbuildings have been fixed on long-term time charters. But for the spot fleet, we achieved rates around the $60,000 to $65,000 mark, both in Q4 and in Q1. The markets there are very, very supportive, watch the space because the numbers that we have been seeing over the last couple of weeks are way higher than the numbers that we are reporting here. If you look at the key indicators, a lot of green indicators, the market is supported. We are seeing the tanker fleet growing a bit. But all in all, both in sentiment and in fundamentals, we see that the tanker market right now is very supportive, and that's probably the understatement. It is more than supported is actually very high. The sustainability of the expanding crude tanker order book will depend a lot on the durability and the potential uptick in scrapping. The order book has risen. We are seeing more orders for VLCCs and Suezmaxes. These orders will not come through this year or next year. But as from 2028, this is something to watch because the market balance will depend a lot on how many vessels we can scrap to make sure that the amount of newbuildings that are coming to the market will not distort the market to the downside. Demand durability of crude tankers, all the different agencies have different numbers. It's not always easy to follow. It looks like we are producing more oil in the world today than we are actually using. And so the only big explanation for that can be that someone and particularly the Chinese are probably stockpiling oil in great numbers. That as long as this continues, it is, of course, very supportive for the oil tanker markets. Depending on what will happen in the next 6 months, both with the oil price and on geopolitics, of course, all these scenarios can be rewritten. But for the time being, what we're seeing is an oversupplied oil market, whereby the oversupply is absorbed in stockpiling. Sanctions remain a very important theme, the Russia-Ukraine conflict, what's happening or what will happen in Iran and of course, Venezuela. We just wanted to highlight one interesting graph on the right side, whereas we see that the Indian crude imports from Russia have gone down after the sanctions that the U.S. imposed in December. We see actually that probably China has picked up some of that slack, as you can see on the graphs to the right. A few words about Delphis and our container vessels. As you know, our 4 container vessels on the water have been fixed on long-term charters for 10 years. We have one more newbuilding delivering this year, which will be under a 15-year time charter contract. So we are not really exposed to the spot market. If you look at the spot freight market, it's a downhill slope. We see that the SCFI is actually trending downwards. So spot freight rates are down. Interestingly, the charter market is still quite supported. So not a lot of charter vessels available. Some big liners still fighting for market share and chartering vessels. We expect this actually to go down going forward because there is still a very significant order book to be delivered both this year in '27 and in '28. Bochem and our chemical tankers, we have 8 ships on the water. You can see the performance in Q4 on the right side. So there's a mix of time charters mostly, but we also have 2 vessels operating in a spot pool. Bochem still has an order book of 8 vessels. We have 2 product tankers coming this year. We then have another 6 chemical tankers in '28 and '29. All these vessels have been fixed on long-term time charters. So our spot exposure is relatively limited. And what we see on the spot market is a slightly declining market, nothing dramatic, but definitely, the rates are not what they were in 2024. So still seeing okay rates, but definitely, things are going down a little bit. And then I want to end with a very good performing business unit recently. That's Windcat. We have taken delivery of 2 of our CSOVs last year. One CSOV has been trading for the last 4 to 6 months on the spot market, but earning very good rates, as you can see on the right side, the equivalent in Q4 of $108,000 a day. The other one has been fixed on a 3-year agreement for work in the North Sea. We still have another 4 CSOVs coming and one larger CSOV is CSOV XL this year and next, but the market is very supportive. And it's supported because the oil and gas market requires good modern offshore supply vessels. And these good modern offshore supply vessels, in some instances, were earmarked for the wind business but actually can now earn better rates in oil and gas, and that is where they are going. On the wind market, we're actually seeing some positive evolutions as well. Last year was a bit slow in terms of delivery of new projects. But in North Sea and Europe, we are seeing new projects coming on stream this year and next, which will necessitate demand for CSOVs and CTVs. CTVs, we have a large fleet of close to 60 vessels on the water. You can see the rates that we achieved. We definitely are satisfied with the rates that we achieved and are looking forward for probably a better 2026 than 2025. So this ends our market update. I'd now like to hand it over to Enya for the Q&A.
Enya Derkinderen: [Operator Instructions] So we will now start taking the first question. Frode Morkedal, you can now unmute and ask your question, please.
Frode Morkedal: Yes. Can you hear me?
Alexander Saverys: Yes. Perfect.
Frode Morkedal: Okay. Perfect. On this Golden Ocean bridge repayment, is it fair to assume that the strong tanker market helped you with this? And specifically, obviously, the sale of the 8 VLCCs must have been instrumental in being able to repay this way ahead of schedule, right? So that's -- and also you could just remind us the numbers we're talking about, how large was the bridge facility? And what's the net proceeds of these 8 plus 2 Capes, I guess, you sold?
Ludovic Saverys: Yes. If it's okay, Alex, I'll take that one. So just to remind, we had a $1.4 billion acquisition facility given by the banks. We only drew upon $1.3 billion. So that was the actual exposure we had fully drawn to buying the first 40% and then another 9% of the market. Of that $1.3 billion, quite quickly after the merger in August, we re-levered the ships of Golden Ocean with a $2 billion facility. And we used $750 million of cash of the releveraging to pay down to $550 million. And that $550 million was what we carried since, I would say, September until 2 weeks ago, $550 million, which half of it has been paid with operational cash flow and cash from sale of vessels with a little bit of the Q3 vessels we sold delivered in Q4, but also some of the tankers, as you mentioned. And then there is roughly half of it, $270 million, which we shifted from the "expensive $2 billion facility with Golden Ocean with some Chinese leasing that we did execute last December." And that was -- so roughly $260 million that we did. So own cash, only about $260 million, $270 million on that. And I think the sale of the tankers, especially the 6 plus 2 Capes and then the remaining 2 has even further strengthened, I think, the belief on the Board to pay more dividends, delever more and then also get a comfort on the Nordic bonds for the remaining of the year that the cash out of the 8 tankers was roughly $420 million cash. So that obviously gives good opportunities to do all of the above that we mentioned.
Frode Morkedal: Right. So is it still that the target is to bring down the LTV -- net LTV to around 50%? And at that point, you could...
Ludovic Saverys: At that point, Frode, I think the target -- the long-term target is at 50% LTV. The LTV today end of December was roughly 55%. Now with the increase in tanker rates -- in tanker value, sorry, as everybody has seen in the market, we're probably already at those levels. But that is the target. I think it's more important to say what are the opportunities with every dollar that comes in from sale of operational cash. And then we stick to the point that it can be dividends, it can be further deleveraging. It can be accelerating the payments on some of the revolvers that we have to reduce the interest costs. Because one thing, when you do M&A, there is a cost of it, especially when you leverage buyouts. And we have seen that in 2025, the SG&A was higher because of lawyer, success fees, refinancing. And hopefully, going forward, our interest costs in '25 should go much lower, that is because there's no more bridge because we are changing expensive or more expensive bank debt sometimes with Chinese leasing and other cheaper, I would say, instruments.
Frode Morkedal: Right. So is it fair to assume that you would probably wait for the bond maturity or some type of refinancing before you step up the dividend payments, even if you are probably approaching 50% earlier than this, right?
Ludovic Saverys: I think the decision of the Board of the $0.16 that we paid today is testimony that I think we can do both paying dividends, both delevering and both continuing to delivering all the newbuilds.
Frode Morkedal: Great. Final question is on NAV. What do you see about investment opportunities, specifically newbuilds, I guess. For example, in tankers, I mean, I'm hearing it's starting to get tempting to start ordering VLCCs, right, because you can order at $120-something million and the prompt resale is $40 million to $50 million higher. So that type of, let's say, [ arm ] is opening up and maybe that is interesting. What's your view?
Alexander Saverys: Our view is that the ship you ordered today at $120 million, delivers in 2029. So today, it might look cheap. In 2029, it might look very expensive. Right now, Frode, we are not actively pursuing tanker newbuilding plans. We are, of course, opportunistic. We will look at any possibility that comes across. But right now, right now, we'd rather enjoy the spot market and not order any tankers.
Enya Derkinderen: The next one is Petter Haugen. You may now unmute and ask your question, please.
Petter Haugen: In terms of -- well, I suppose then turning through this question upside down. You still have tankers, although now it's predominantly Suezmax tankers, obviously. Would you consider to sell some of those in order to, well, do the combination of further paying down debt and dividends?
Alexander Saverys: Yes, Petter. Look, the first thing we wanted to do over the last 1.5 years is to sell our older vessels. I think we've done a good job at that so far. So obviously, we still maybe have 1 or 2 older vessels that could be up for sale. The second thing is if we see an exceptionally high price for any asset, we will always look at it. Look, trading ships, buying and selling ships is part of our business. And where we like to keep our younger vessels, we will never say no to a very high price. Do we need it to deliver? No. That I would say, I think the heavy lifting on delevering has been done. I think operational cash flows can bring us to a very comfortable leverage over the next 9 months. But we will always be ship traders. If someone comes with a very high price on any assets, we will look at it.
Petter Haugen: Understood. And in terms of your dry bulk fleet, sort of the same question there. I suppose we've seen how the market has appreciated your -- yes, your sales and the communicated increase in dividends. So on the Capesize fleet, there are, I suppose, more opportunities still to sell older ships. But is that done now? Or is that still on the table? I know that you say that you sell at the right price. That's true to all of us, I would say. But in light of the very strong tanker market and increasingly strong dry bulk markets. I would -- well, in interpretation of your earlier statements, I would think that you were contemplating to sell more rather than the opposite.
Alexander Saverys: No, I think that is not really correct. I think on the dry bulk side, we believe we are not yet where the tanker market is right now. We think this market has a lot more in it, and we would like to let it run. So stay spot exposed unless we find some good charter parties. And as you've seen, we fixed 5 of our Capes for 5 years at what we believe are very good rates or unless, again, an exceptional price comes along. But I don't think we're there yet. So we're very happy with the dry bulk fleet we have now. We have sold some of our older vessels. And now we really want to just enjoy the market for the next couple of quarters.
Enya Derkinderen: Now, Kristof Samoy, you can now unmute and ask your question, please.
Kristof Samoy: I have 2. One on long-term charters. You've concluded these 5-year charters for your Capesizes. Could you disclose the counterparty? And then secondly, we've also seen in the market that Vale has been ordering quite some newbuild VLOCs. Would your Newcastlemaxes have been competitive for the trade? Or were they particularly looking for 400,000 deadweight ton plus vessels for the transportation? That's the first bulk of my question. And then secondly, on the U.S. Maritime Action Plan proposal. I recall when we discussed USTR and the impact or the potential impact of USTR in previous calls that you indicated that the impact would be fairly limited because you have little port calls in the U.S. Does this logic still apply to the now proposed U.S. Maritime Action Plan? Or are there like substantial differences there that you see for CMB?
Alexander Saverys: Okay. Thanks, Kristof. So first, the counterpart of the charters, that's confidential. So we are not disclosing that, but it's a very good counterpart. On Vale and their large ore Valemaxes, typically, what they like is to do very, very long-term deal at very, very low returns. That's not something we like. Could our Newcastlemaxes have completed, of course, but then we would have accepted a very, very low return. That's usually these large projects, and we leave that to some of the specialists in Asia. And our relationship with Vale on the spot market is still there. We do business with them with our Newcastlemaxes. On what is happening in the U.S., Kristof, you will agree with me that the only thing we know is that we don't know. Things are changing by the day. When you say that we don't have a lot of port calls in the U.S., that's actually not true on the tanker side. Don't forget, we do quite a lot of business with our tankers in the United States. But under the USTR and all the other regulations, we would have been exempt anyway because energy was going to be exempt. The new package that is there, it's too early to assess what the impact would be on our business.
Enya Derkinderen: Climent Molins, you can now unmute and ask your question.
Climent Molins: I wanted to follow up on Kristof's question on the Capesize charters. Could you disclose the rate on the contracts? Or is it confidential as well? And secondly, what's your current stance on potentially adding more coverage based on your forward outlook on the dry bulk side?
Alexander Saverys: Yes. Thank you, Climent. So no, again, we can't disclose the rate. But I think if you look into broker reports, how they quote a 5-year Cape rate, and add a little bit to that because our vessels are more modern and better than what brokers are quoting, then you're probably in the ballpark. But so unfortunately, we cannot disclose the rate. Would we look at taking more coverage? Yes. Answer is yes. We have said this in this call many times. We think that, ultimately, we want to create stable cash flows in our company. We will not do it at any price. But when markets move in the kind of zones we are now, we will actively engage with our customers to see whether we can take more long-term cover.
Climent Molins: Makes sense. And I also wanted to ask about the dividends on the gains on sales. I assumed a few minutes late, and you may have already touched upon this, but is it fair to assume you'll declare a dividend on that front on both Q1 and Q2 based on the reported gains?
Alexander Saverys: The answer is definitely on Q1. And again, if you take back full discretionary dividend policy, I think every quarter, we look at it. We had a very good Q4 quarter. We were able to achieve a lot of the internal check the boxes to reinstate, I would say, a somewhat higher dividend than before. So the $0.16 was purely on Q4. Q1, we have already $270 million profit, which we announced our intention to pay a dividend on it. So that will be decided and confirmed, I would say, on that part in the May earnings release for Q1. And as the market continues, as we continue probably to shift from sales to really operational cash flow and take out the remaining parts of the new build program and the bonds, it frees up a lot more capacity for dividends. But again, we're not going to commit to a fixed percentage. I think it will be quarter-by-quarter that we look at, but it's fair to say that it all looks pretty good.
Enya Derkinderen: We have 2 more questions in the Q&A. So the first one is, do you expect Sinokor?behavior to trigger a regulatory reaction?
Alexander Saverys: I don't know. You should ask Sinokor.
Enya Derkinderen: And then the second one is, what are your expectations on framework changes after the European Industry Summit?
Alexander Saverys: I think the theme of that summit was more the industry based on land and not specifically on the maritime side. But I do think it's great that our politicians are aware that if we want to make sure that prosperity continues in Europe, we need to change certain things. And that can only help our vibrant maritime industry, which, as you know, is very strong here in Europe.
Enya Derkinderen: We have one more question live. [ Victor ], you may now unmute and ask your question.
Unknown Analyst: I had a quick question regarding your leverage. Do you intend to lower it back to pre-2025? Or do you have a figure in mind on the leverage you're looking for? Also on the equity ratio, you haven't moved a lot on this part. And just wondering how far you are within your covenants? And last question, can you give us more flavor on the recent cooperation you signed with China for your new project there?
Ludovic Saverys: Yes. [ Victor ], thanks for the questions. On the leverage, we have a target of 50% loan-to-value. I think we're not far off. If you would take today's value, especially with the increase in tankers, we're there or thereabouts. I think it's about making sure that combined with the long-term cash flows that you have, but also the opportunities you see. I just recall, we did increase our leverage quite dramatically with the Golden Ocean opportunity. But I think as shareholders, we're all pretty happy that we did. That leverage has reduced. and we're now positioned with another 90 dry bulk ships in what is seemingly a strong market. So we do justify that increase in leverage tactically. The equity ratio, just to remind, we have a pretty low book value, which is, I would say, taking a long success because we buy or order quite cheaply, and we don't re-rate our assets in book values. If you look more towards the value-adjusted equity, which we showed on slide -- on the overview slide, that has, I would say, equity ratio increased quite dramatically with the adjustment on fair market value. The bond covenant of 31% in Q4, you don't have to be a mathematician to see that if you add another $370 million of profit in Q1, Q2 on fixed sales. I think that covenant is high and dry definitely until the maturity of the bonds in September. And so we mentioned that we will probably not issue a new bond to just pay back at maturity. So we're good in all covenants, by the way, and you'll see that in the audited financials end of March.
Alexander Saverys: And then Victor, to answer your question on our investments and our joint venture in China. You know that we are building ammonia-powered vessels that will deliver this year. We have secured an offtake of green ammonia in China. And we have also invested in a company that provides the logistics for that ammonia, bringing the ammonia from the factory where it is produced to the tank and from the tank with a bunker barge to our ship. So that is the nature of our investment there.
Ludovic Saverys: And for everybody, we mentioned this, this is quite a small investment. We took a stake to better understand, to better control that logistics and to see how that is developing. But we we're talking a couple of tens of millions, but definitely not a huge investment.
Unknown Analyst: And last question, if you allow me this. Do you have a target on the EU ETS price?
Alexander Saverys: That I want to pay or that I want the market to go to.
Unknown Analyst: That you want the market to go to for your investments to be more interesting for our customers.
Alexander Saverys: It's a very good question, Victor. Of course, the higher, the better because then there will be more incentive for people to use our assets in European waters. Okay. Thank you, Victor.
Enya Derkinderen: Okay. Then Quirijn want to ask a question. You can now unmute.
Quirijn Mulder: Quirijn Mulder from ING. You sound quite optimistic about the wind offshore market. Can you maybe give some idea about the utilization and let me say, the future prospects? Let me say, is it more what you see from your order book? Or is it more what you see in the market happening? Maybe you can elaborate a little bit on that.
Alexander Saverys: Yes. So I think the optimism comes from 2 sides. The first side is purely related to the wind and the new parks that will be developed in the next 3 to 4 years. As you know, a lot of projects over the last 2, 3 years have been either halted or delayed. What we do see is that certain projects are still coming through in the North Sea, which will create additional demand for offshore wind supply vessels. But we're also optimistic Quirijn because our assets that we are deploying for wind parks can also be deployed in offshore oil and gas markets. There, the fleet has been aging, has not been renewed sufficiently. The quality and the comfort of the assets in the oil and gas markets is much less than the ones in the wind markets. So our assets that are suited for wind are actually in very high demand to serve the oil and gas markets. And what we're trying to do over the last 6 to 9 months is basically to make sure that our ships can earn good money in oil and gas. And then once they have done their job, their transition to better wind markets.
Quirijn Mulder: Okay. But let me say the contract size is very different in wind compared to oil and gas, as you might know. So wind in general is longer, more -- let me say, more -- takes longer time, especially. And oil and gas short time, short time contracts, et cetera. So...
Alexander Saverys: That's not really true. You see long-term contracts in oil and gas and you see spot contracts in wind. Our CSOVs have been ordered to operate on the spot market first. And as and when we see longer-term contracts, then we go for it. What we have not done, unlike some of our competitors is order these vessels with a charter attached because there the charters were very, very low paying.
Ludovic Saverys: It's a little bit the similar analogy with the Vale contracts that, yes, there are certain peers that accept not the IRRs we would accept. And hence, with the balance sheet that we have, the strength we have, the knowledge in the market, we order speculatively spot based on long-term fundamentals and then wait a little bit until, as Alex mentioned, we see good long-term contracts as we've done on the second CSOV, which is actually quite profitable contracts over 3 years.
Enya Derkinderen: I think this concludes the questions.
Alexander Saverys: Okay. So I'd like to thank everyone for dialing in today. Thank you for your questions. Thank you for your attention. You know that if you have any other questions, we are here to answer them. Do reach out to us if you have any further questions. And I look forward to speaking to you on our next call. Thank you very much. Bye-bye.